Operator: Good morning, and welcome to the ITM Power PLC Investor Presentation. Throughout this recorded meeting, investors will be in listen-only mode. Questions are encouraged and can be submitted at any time by the Q&A tab situated on the right hand corner of your screen, just click Q&A, type your question and press send. The company may not be in a position to answer every question received during the meeting itself. But the company will be in a position to review questions submitted today and publish responses where appropriate to do so. Before we begin, we'd like to submit the following poll. I'd now like to hand you over to the ITM Power team.
Dennis Schulz: Good morning. Today, we want to talk about for the financial year, which ended in April, went for us as a business. We will give an update on how the regulatory and funding landscape has evolved and which trends we see with our customers. We will check in on our strategic priorities and provide impressions of our company's evolution. We will share insights into our pipeline of sales opportunities, and we will give an update on our reference plant situation and product performance. Last but not least, we will summarize our financial results and provide guidance for the financial year '24/'25. My first full financial year at ITM has seen the company make significant progress. We completed our 12-month plan and have transformed ITM into a credible delivery organization. Today, we have a focused portfolio of products, all utilizing the same market-leading stack technology, which we can now deploy into projects of any size and into almost every region of the world without adaptation. This offers us unmatched supply chain and scale-up advantages. We have achieved a crucial shift in culture. Previously, we spoke about slowing down and focusing on doing things right the first time and putting quality over quantity. This shift in culture has been encouraging our employees to contribute ideas for improvement. It also fosters a culture of accountability, collaboration and continuous learning. The transformation we have undertaken is evident in our day-to-day operations. As a result, EBITDA losses in the financial year decreased significantly to only one-third of the previous year, whilst we were able to grow revenues threefold. We now have a disciplined approach to the use of our capital, which is reflected in our strong year-end net cash position. On the technology side, we are at the forefront globally, and we are deploying our electrolyzers into some of the largest and most prestigious green hydrogen plants under construction worldwide today. In June this year, we inaugurated the 24-megawatt plant we built jointly with Linde for Yara in Porsgrunn, Norway. It is now the biggest PEM electrolyzer plant in operation in Europe. For RWE, we are delivering 200 megawatts to Lingen. And following Shell's final investment decision for the REFHYNE II project taken just a few weeks ago, we are now also delivering another 100 megawatt of our TRIDENT stacks and skids into Shell's refinery in Wesseling, Germany. Recently, we also commissioned our first reference plant in Japan for Sumitomo and Tokyo Gas. Our growing base of reference plants and operational field data helps us to convince new customers of our capabilities. Our recently announced partnership with Hygen, where we were appointed as their preferred supplier for PEM electrolyzers for hydrogen projects in the U.K. and the European Union, and more recently, the huge 500-megawatts capacity reservation by a large industrial customer, are further strong endorsements of our technology and credibility to deliver. Clean technologies are fundamental to governments achieving their ambitious climate, economic and energy security goals. The widespread adoption of clean technologies will accelerate the energy transition and improve energy resilience. Green hydrogen is set to play a key role in the energy mix of the future. In the short and medium term, government incentives and support mechanisms will remain key enablers of the hydrogen economy. They can remove barriers to investment by offsetting cost differentials between fossil-based fuels and green hydrogen. Over time, as the industry scales up, business cases will get stronger and the industry and hydrogen economy will become self-sustaining. According to the International Energy Agency, only under 4% of electrolytic hydrogen production projects worldwide have reached FID so far. In many cases, this is due to a combination of policy and regulatory uncertainty, inflation, increased cost of capital, lack of infrastructure or uncertain offtake commitments. They estimate that 70 million tonnes per annum of clean hydrogen will need to be produced by 2030 to remain on track for climate goals. This compares to less than 1 million tonnes produced today. To be robust and resilient, the entire hydrogen value chain must develop and scale in parallel, including production, transport, storage and end-use demand. While this poses complexity, it is widely acknowledged today that renewables will dominate tomorrow's energy systems. Green hydrogen will be vital to ensure uninterrupted access to clean energy and to decarbonize especially energy-intensive sectors like steel production, chemicals, long-haul transport and aviation. There have been lots of tangible developments on the regulatory and funding side. I'd like to highlight a selected view. In the European Union, the Net-Zero Industry Act is a key piece of legislation. Proposed by the European Commission as part of the broader Green Deal Industrial Plan, the Council and Parliament agreed to it in February '24. It aims to strengthen the resilience and competitiveness of key net zero technologies in the European Union and to create the right conditions to attract investments. The EU aims to produce 10 million tonnes and to import 10 million tonnes of green hydrogen by 2030. Several funding and subsidy avenues are available to industry, including the Important Projects of Common European Interest, short IPCEI, and the European Hydrogen Bank, which recently completed its first EUR800 million pilot auction. In addition to the availability of central EU funding, individual member states are allowed to fund projects and developments directly as well. Beyond incentives, the EU's Renewable Energy Directive, and most recently, RED III, mandated increase of renewable fuels of nonbiological origin, primarily hydrogen. It sets ambitious targets for the hydrogen sector, notably requiring at least 42% usage by 2030 and 60% by 2035. Also, the U.K. has seen lots of movement recently. The government's ambition is to produce 10 gigawatts of clean hydrogen by 2030 with a minimum of 6 gigawatt of it being green. The Hydrogen Allocation Rounds, short HAR, allocate revenue support for hydrogen production facilities to bridge the cost gap. For the first round, HAR1, 11 projects within total 125 megawatts were successfully announced in December last year. The project will receive over GBP2 billion of revenue support through 15-year contracts and GBP91 million of upfront capital funding. HAR2 aims to support up to 875 megawatts of capacity with the application window having just closed in April this year. A short list of projects is expected to be announced in autumn. HAR3 and HAR4 are expected to target 1.5 gigawatts each. The U.K.'s Green Industries Growth Accelerator, short GIGA, fund of GBP960 million was announced in autumn last year to support the expansion of clean energy supply chains, including hydrogen. In March this year, an additional GBP120 million was added to the fund, and successful applications are expected to begin drawing down the funding from 2025. In the U.S., the Department of Energy released its National Clean Hydrogen Strategy and Roadmap in 2023, targeting 10 million tonnes by 2030, 20 million tonnes by 2040, and an impressive 50 million tonnes by 2050. Furthermore, the Treasury Department in the IRS released long-awaited proposed regulations for the eligibility and implementation of the Section 45V hydrogen production tax credit with up to $3 per kilogram of hydrogen for producers. In October last year, the DOE announced $7 billion of funding to launch seven regional and key hydrogen hubs to accelerate commercial-scale deployment. In March of this year, the DOE announced $750 million in funding to reduce the cost of clean hydrogen, covering 52 projects across 24 states. Also, elsewhere in the world, green hydrogen strategies continue to evolve at pace. Last year, Japan updated its strategy with $107 billion earmarked to be invested over 15-years to achieve 2 million tonnes by 2030, 12 million tonnes by 2040, and 20 million tonnes by 2050. In May this year, the Japanese Parliament passed the Hydrogen Society Promotion Act, which paves the way for providing 15-year subsidies for locally produced and imported low-carbon hydrogen. India announced an ambition to produce 5 million tonnes of green hydrogen by 2030. Egypt's green hydrogen strategy is targeting up to 8% of the global tradable market by 2040. Australia announced a hydrogen production tax incentive of AUD2 per kilogram, which will be available over a 10-year period starting from 2027. I could go on for hours, but let's keep it short. Given the ambitions and targets of governments around the world, the green hydrogen market and electrolyzer demand are expected to see strong growth over the coming years. We are out of the hype phase. Green hydrogen is happening, and ITM is well positioned to play a leading role in this emerging, very large market. There's broad consensus that green hydrogen is the enabler of a successful energy transition for grid balancing and decarbonizing especially hard-to-abate industries, which are the cause of approximately 30% of global emissions today. As just explained, governments all over the world are creating environments conducive to investment, including grant funding and increasing carbon taxation. At the same time, these governments are proactively investing into infrastructure for hydrogen transport and storage, both of which are essential for cross-border hydrogen economy to take shape. The EU and U.S. alone both foresee more than EUR300 billion of investments by 2050 each. Green hydrogen is becoming a massive market. The rationale hasn't changed. In the short-term, however, the electrolyzer market is still immature, with many companies promising more than they are actually capable of delivering. ITM Power is standing out as one of the few exceptions here. We have been completing important reference plants. We are generating more and more field data, and an increasing number of industrial customers is investing their trust in us. While the number and size of project inquiries has continued to grow significantly, and I will talk more about this later, customer FIDs oftentimes keep being delayed. Energy price and inflation developments haven't helped business cases by customers who are waiting for a government funding decision, in some cases for more than a year. The market potential for green hydrogen remains excellent, with strong growth expected in the coming years. In the short-term, the realities of industrial scale-up will remain incremental though. This does not mean that FIDs won't come, as just proven wrong by the positive REFHYNE II FID, but patience remains key. The energy transition in green hydrogen do not magically happen overnight. This is a marathon, not a sprint. As such, we have to make sure not to run out of breath before we reach the finish line. Equally, we cannot run too slow as to not fall behind. And this balance between exponential long-term growth but slowed down FIDs in the near term implies the need for readiness and flexibility, whilst managing cash commitments carefully. Our strategic priorities announced in January this year aligned with our vision of delivering the world's best electrolyzers, scaling our operations profitably to meet the rising demand and growing our global footprint and reach over time. We have reassessed these priorities against the observed market developments and can confirm that they remain fully valid. As a recap, to remain at the forefront of technology, product and delivery credibility, we will evolve our products, including the continuous improvement of our TRIDENT stack platform and NEPTUNE plug-and-play units. We will strategically extend our portfolio currently under development with a larger capacity, game-changing stack platform to widen the gap to competition even further. We prepared for rapid scaling of stack volumes and continue to evolve our processes and capabilities in manufacturing, engineering, procurement and field services. To scale our operations, whilst retaining flexibility and conserving cash, we will continue to deepen the level of automation, which we have been making great progress on. We will grow production capacity in line with commercial projects and focus on credible sales opportunities and capture a significant market share by offering the best products, value and credibility to our customers. To grow our global footprint and reach, while staying adaptable, we will ensure an appropriate setup in all attractive offtake regions. We want to be best positioned and ready for rapid demand uptick as we are in the European Union by means of our new entity, ITM Power Germany. We have also just recently expanded our business development in the U.S. We will take an asset-light product and service-first approach and continue to expand to regional product compliance. To reiterate, these strategic priorities remain fully valid. And we have been making significant progress on each one of them already since we announced them in January this year. In the beginning of this year, we promised to be launching a larger-capacity containerized unit. As always, we walk the talk. In May, in response to significant customer demand, we introduced NEPTUNE V, our new 5-megawatt containerized full-scope plug-and-play electrolyzer plant. Designed against the highest safety and quality standards and incorporating the learnings from our operational electrolyzers around the world, NEPTUNE V utilizes our leading and proven TRIDENT stack technology. NEPTUNE V is compact and versatile, providing 5 megawatts of reliable and highly efficient hydrogen production capacity, all contained in the smallest footprint per megawatt in the industry today. It offers the widest operational range in its class. It can cope with load changes between 12.5% and 100% within just seconds. NEPTUNE V is competitively priced and ideally suited for midsized projects. Customer interest has been overwhelming since its launch. With this latest addition, we now have a complete and comprehensive product portfolio, perfectly aligned with what our customers want and need. With TRIDENT, we continue to offer the leading PEM technology, coming in a 2-megawatt hydraulic skid solution. Whilst for some customers, we can directly send TRIDENT into capable EPC integrators, many other customers cannot do much with electrolyzer stacks alone. Therefore, we are offering our TRIDENT technology packaged in full-scope plug-and-play electrolyzer plants coming in 40-foot containers. Customers only require tap water and electricity. Our system does the rest. NEPTUNE II is our 2-megawatt solution, a popular choice for mobility applications and smaller projects below 10 megawatt. NEPTUNE V, as just explained, is our 5-megawatt containerized plant, well suited for midsized projects. POSEIDON is our 20-megawatt core electrolysis module solution for large-scale EPC projects, typically starting from 60 megawatts in size, open-ended, or where customers want to build plants in a way which allows later modular expansion. The vast majority of projects we are bidding POSEIDON into is way beyond 100-megawatt in size. For projects which we are realizing together with Linde Engineering as our strategic EPC partner, Linde is deploying their own HYPEM module, which scope-wise is comparable to our POSEIDON offering. It is a highly standardized and proven 10-megawatt solution, integrating our TRIDENT stacks and skids into the wider balance of plant. Linde's HYPEM module is the basis for the 200 megawatt we are jointly delivering to RWE in Lingen and the 100 megawatt we are now together deploying for Shell. HYPEM is, without a doubt, the most mature module of its type in the market worldwide today. This is how a Linde 200-megawatt HYPEM configuration with ITM stacks and skids looks like in a real project. This is a render of the RWE Lingen 200-megawatt plant currently in construction. When talking about electrolyzers, people often underestimate how huge and complex a 200-megawatt plant really is. This is a massive gas plant, and to be successful, it requires a very close collaboration between the core electrolyzer technology provider on the one hand and a highly skilled and capable hydrogen-experienced EPC integrator on the other hand. Here, another view to give you an impression of the size and dimension. The GET H2 Nukleus 200-megawatt plant in Lingen is the largest PEM electrolyzer plant in physical build worldwide today. Here, now an example of how a NEPTUNE II unit looks like in commercial reality as delivered to Sumitomo for Tokyo Gas. This photo was taken last month in Yokohama, Japan. The unit marks the first commercial-scale electrolyzer ever imported into the country. I won't go into more details at this point as Simon will provide a more detailed update on our reference plants later in the presentation. However, in the context of significant funding programs for green hydrogen recently announced by the Japanese government, having an early foot in the door in this strategically growing market is certainly an important milestone and achievement for ITM. We are evolving and growing into regions in which we see relevant customer demand, justifying investments into increased customer proximity. Besides our resources on the ground in France, the U.S. and Australia, our main operating hubs today are Sheffield in the U.K. and Linden in Germany. Our Sheffield factory was not only the world's first PEM Gigafactory. With our expansion to 20,000 square meters, it continues to be the world's largest PEM Gigafactory in commercial operation. We have continuously deepened the level of automation in our factory, something for which it is important to get the balance right. You need to be absolutely certain what to automate before you invest, and you need robust validation of new manufacturing methods and equipment before introduction into the commercial production process. An incremental approach to automation has proven to be right. Given significant customer demand, a key focus area in our expansion in Sheffield lies in our capability to manufacture an increasing number of NEPTUNE units in parallel. In October last year, we have opened our new Continental European hub in Linden. ITM Power Germany is home to our aftersales operations in the region, and we are recruiting into functions such as business development and IoT, all of which we need for our accelerated growth. As local content requirements may become stricter in the European Union, we are making sure that we are ready. Our pipeline of project opportunities has grown strongly, especially in regions where companies see consistent regulation and incentive schemes relating to green hydrogen production or demand. Today, we are working on more than 100 sales projects. And over the past 18 months, our sales pipeline has grown by an almost unbelievable 25 times. At the same time, with more and more industrial customer demand, also the quality of our sales pipeline has improved. Although this does not necessarily translate into FIDs overnight, I personally have never seen a sales pipeline grow so quickly ever in my career. Over time, this will eventually translate into massive orders. Europe continues to lead the way in terms of tangible progress on green hydrogen projects, with major industrial and energy companies developing portfolios of projects. In addition to the strong energy markets of Germany and the Netherlands, the first Hydrogen Bank auction confirmed the competitiveness of the Iberian and Nordic markets for large-scale production. Customers are developing their projects at a range of capacities with a significant number of projects in the sub-50-megawatt range, where our containerized products are ideally suited. These projects commonly target mobility applications and specific industrial use cases such as distilleries or semiconductor manufacturing. In the 100-megawatt-plus scale, we see strong momentum in relation to green ammonia production, refining and sustainable aviation fuel. Due to the large volumes of hydrogen produced and the risks associated with single off takers, such projects are often contingent on emerging hydrogen infrastructure like pipelines and storage. There are also a number of very large gigawatt-scale projects, predominantly in regions offering low-cost renewable energy potential, typically targeting export. We expect these projects to adopt a realistic phased approach to manage execution, financial and offtake risks. Integrated energy oil and gas companies continue to be active in the development of their green hydrogen project portfolios. They have a mature approach to technical and financial risk management in relation to the investment into physical assets at scale and the capability to finance off their balance sheet. Pure-play green hydrogen or wider renewable energy project developers are also increasingly common and, in the absence of balance sheet strength, are driving the market in relation to project financing options. Customers are now reacting to their very own experience of developing and delivering early pilot projects or to reports of the experience of others. This has increased customer focus on evidence of technology performance, design, integration and execution capability across OEMs and EPCs and the ability to demonstrate real-world operational data. As projects scale in size, customers increasingly want to ensure they can deliver on their business case, especially when they get paid only for each kilogram of hydrogen produced like, for example, under the U.K. market mechanism. Furthermore, customers recognize that there are only a small number of OEMs and EPCs truly capable to deliver reliably, especially large-scale projects. This will become an ever more decisive differentiator in the market. For us, ITM, this leads to capacity reservations. Under which, customers typically prepay a certain amount of the final contract price to secure production slots ahead of the pending FID. Especially industrial customers have started to realize that production capacity will become scarce, given the low number of credible OEMs in combination with significantly growing project sales pipelines. Let's talk data. Our pipeline by product and year of manufacturing from 2024 to 2031 shows a 60% share of TRIDENT stacks and skids and a 33% share of POSEIDON module demand. Projects based on containerized NEPTUNE units are typically planned less long ahead by customers, given their smaller size and shorter project execution time. The further out, the bigger the average project size. If we take a look at the year 2026 as a snapshot, again by megawatt and the year of manufacturing, then the picture looks very different though. There's a significantly higher share of demand for containerized NEPTUNE systems, predominantly NEPTUNE V for midsized projects. This is highly important to us as the underlying data gives us valuable insights into where to put our focus on capacity growth and regional product compliance necessities. As I had already mentioned, our current factory expansion is putting strong emphasis on a further increase of our parallel container assembly capabilities. Let's take a view on this data by region. More than half of our pipeline, and I would also dare to say the on average more mature projects, are located in Europe with a quickly growing demand uptick in the U.K. due to the HAR funding. Australia, with its vast renewable potential, remains a very interesting, but rather slowly developing market. And the rest of the world is leaning strong towards U.S. projects.
Simon Bourne: Thanks, Dennis, and good morning, everyone. I'd like to start by building on the important theme of product performance data that Dennis mentioned earlier. I'll outline some practical examples of recent product deployments, give an impression of what we're learning from these experiences, and how this is helping our customers build confidence towards making investment decisions. As you've seen, the deployment of TRIDENT stacks continues both in containerized and non-containerized products. In the recent months, we've deployed nine NEPTUNE II products into semiconductor, gas synthesis and refueling applications, and each of those has been deployed into very different world regions. Non-containerized TRIDENT stacks have also been integrated and operated in different process industries, the 4-megawatt RWE plant in Lingen, the 24-megawatt Yara project in Porsgrunn, and the 10-megawatt REFHYNE I project with Shell in Wesseling. The REFHYNE I stacks have been upgraded to the latest generation in a phased process that started in late 2023. The pictures on the right are from key events during June and July this year, and all of these plants have generated valuable data, which I'll explain in more detail. It's well known that ITM has extensive test facilities from cell and stack through to full product. Any of you that have visited ITM will have seen this first-hand. These facilities have generated a tremendous amount of data over the years. Now the addition of experience from in-field products is really starting to drive customer confidence. ITM has built and tested over 200 TRIDENT stacks. Each one goes through a full factory acceptance program. This includes integrity, certification and performance tests over the full operating range. I've explained in previous presentations the performance of TRIDENT and so won't repeat it here. But what I will say is that full-load efficiency of every stack is measured and analyzed in detail for consistency. The stacks continue to deliver industry-leading efficiency, and this data can be made available to prospective customers. Tens of thousands of stack operating hours have been accrued at Yara alone. Similarly, every NEPTUNE unit undergoes factory acceptance testing and a detailed customer witness test. This is performed over the full operating range with multiple test points. Every unit tested has met all metrics defined in the specification. Importantly, the NEPTUNE product run rate indicates in-field availability of over 98%. While having such performance data is clearly valuable, our facilities for live customer witness testing has made a significant impact. Via this facility, prospective customers effectively have the opportunity to try before they buy. By visiting ITM or participating online, customers can observe live performance and get access to a summary of the test data generated. Together, this is demystifying electrolyzer system capabilities and performance and therefore unlocking customer confidence. In addition, ITM has developed rapid data processing algorithms for our long-term in-house testing, and we continue to build our infrastructure to access more data and process it faster to maximize value for our customers and also for ITM. Now with its complement of current-generation stacks, the REFHYNE I system has also accrued tens of thousands of stack operating hours. Shell is assessing performance regularly using a controlled and consistent test protocol. And to-date, no measurable degradation has been observed. Finally from me, and to bring us fully up to date, I'm delighted that Shell have made a positive final investment decision on the REFHYNE II project. This was announced on the 25th of July and is another important project for ITM. It will see us supply 100 megawatts of TRIDENT stacks and skids. This is in addition to the 10 megawatts that's already at site in REFHYNE I. Linde has been appointed as the EPC integrator, meaning that all our joint experience will be applied. Many of you will appreciate that Shell has a rigorous FID process. Prior to reaching their decision, Shell undertook an extensive audit of ITM. This covered our technology and also our operations in the factory. This, together with the performance of our latest generation of stacks in REFHYNE I, played a major role in Shell's confidence to proceed to FID. So I see this as a strong endorsement of our technology and company. Repeat business from a leading industrial and well-informed customer is an important achievement and another valuable reference point for other prospective customers looking for a reliable electrolyzer supplier. And with that, I'll hand over to Andy.
Andy Allen: Many thanks, Simon, and good morning, everyone. Thank you for joining us. I will talk through the financial results of the company as well as the guidance for the year ending 30th of April '25. Before talking about the results, I want to show again one of the features of our company and industry in terms of our typical contract structure and revenue recognition. The graph on the right shows a typical contract structure for one of our larger TRIDENT projects. As a reminder, TRIDENT are our highly standardized electrolyzer stacks and skids for volume manufacturing and large-scale deployment. The blue bar shows cash invoiced against hitting certain milestones and a profile that is fairly standard for ITM. Those milestones typically mark the completion of certain phases of the project or you could say value creation points. They are often represented by an increase in work in progress, or WIP, or finished products in the inventory. As a result, revenue will significantly lag behind value creation, which in itself isn't a problem, but it's important to have in mind when looking at ITM's revenue numbers. The pink bar is the revenue recognition point. For TRIDENT projects, this is usually when the stacks meet the skids on site at the customer location and undergo site acceptance testing, or SAT. As such, there's a dependency on revenue recognition for customer site readiness. Therefore, the timing of revenue recognition is often dependent on circumstances beyond our immediate control. Large-scale projects we are jointly delivering with Linde Engineering such as the 200-megawatt RWE or the 100-megawatt Shell REFHYNE projects fall into this category. The revenue recognition profile is less extreme for NEPTUNE products in that revenue recognition tends to align with either factory acceptance testing already or readiness for shipment, both of which are within our control. With POSEIDON projects, these will be recognized on percentage of completion, as each one will be bespoke to a specific customer. This dynamic is impacting our financial results for the year ended 30th of April '24 FY '24. We see that revenue is mainly recognized from projects which have NEPTUNE plug-and-play products at their core. This is a result of us having gained traction with our 12-month plan, bringing control to our operations and projects in the factory. The results for the year show a step-change in the performance of the business compared to this time a year ago. The revenue has increased more than threefold to GBP16.5 million. We also see a growing aftersales income through maintenance services, upgrades and spare parts. Gross loss has improved by an impressive 79% as we see the benefits of incremental automation with the year ending with a significantly improved performance, compared to FY '23. One of the factors of this year's gross loss was an under-absorption of production costs, where we built products only to contracts and not to the maximum capacity of the factory. We will continue to keep tight control of what we produce and ensure that we are not purely building products to sit on the balance sheet, which we can't sell to customers. Our adjusted EBITDA loss was GBP30.4 million, a decrease of more than two-thirds on the prior year and reflecting a company that looks and feels very different to the one in FY '23. We have achieved this result too through staying far leaner and making a number of strategic hires, whilst retaining the cost and efficiency benefits of the restructure we executed just over a year ago. The cash outflow also improved compared to the prior year, the total outflow being GBP52.3 million. The opening balance was GBP283 million and the closing balance, GBP230 million. In this table, I have highlighted the key cash movements. You can see that the increase in inventories of GBP11.6 million was largely offset by the variations to working capital of GBP10 million. The increase in inventories only tells half a story, too. The graphic to the right shows that a year ago, we had less overall inventory and a larger proportion was raw materials. Fast forward to FY '24, and we have processed 85% of all of our inventory into WIP and finished goods and all to customer contracts. We also saw a reduction in provisions, which included us working through the project contracts we have, as well as releasing some provisions back to the income statement as efficiencies were found. We have invested a similar amount at GBP15.5 million to the prior year in CapEx and development costs. But you can see that the weighting has shifted from an even split of product development and production capability to a greater emphasis in the last 12 months on production readiness. As we look to FY '25, product development will once again start to see a lift, among others, for our new CHRONOS stack platform. Lastly, we benefited in the year from GBP12 million worth of interest and a further GBP4 million of other smaller items. My final slide is on the guidance for the current year we are in, FY '25. We are now at a point of executing customer contracts, as well as seeking to secure new customer projects such as REFHYNE II. In doing so, we will continue to invest in the controlled and stepped scale-up of the business as we go forward. In terms of revenue, we are guiding to a range of between GBP18 million and GBP22 million, another uplift on the results for FY '24. This revenue number will once again be mainly due to NEPTUNE contracts and not TRIDENT contracts, which due to customer site delays beyond our control, will now fall into future periods for revenue recognition. Without these delays, we would have been guiding to a range of between GBP35 million and GBP40 million in the year. A further key metric is our contract backlog, meaning signed firm orders with customers which have not yet been converted into revenue. Our contract backlog is now growing quicker than we are recognizing revenue. This is a very important indicator as it confirms that we are growing a sustainable business. This is illustrated on the right-hand side, where we started FY '25 with GBP80 million of contracts to deliver and have already won to date at GBP47 million of new contracts, which includes REFHYNE II, and we'll continue to grow that further. With our guidance revenue for the full year to deduct at the year-end, our contract backlog will sit above GBP100 million at April 2025. We are guiding today to an EBITDA loss of between GBP35 million and GBP40 million. This is broadly consistent with FY '24 when taking into account inflation. Having taken control of our overhead, the EBITDA number profitability is now a function of volume of production and sales orders contracted in any given year to increase fixed-cost absorption. Lastly, we expect net cash to be in the range of GBP160 million to GBP175 million at the end of the year with a net outflow similar to FY '24. Beyond the EBITDA guidance, we will be investing into CapEx with further factory automation and our CHRONOS product development program. We will also see smaller increases in working capital as we continue to build to contracts, where revenue cannot be recognized in the same year. For me, there is a very different feel around ITM compared to 12 or 18 months ago. We have made significant strides forward, and that is evidenced by our building and shipping of products to customers. We are also welcoming lots of those customers visiting our factory here in Sheffield, and we are creating really positive impressions be it from first time or returning visitors. It isn't necessarily easy to reflect this in words, so we've prepared a quick virtual tour of Bessemer Park in Sheffield, featuring two familiar faces to give everyone here a flavor of what our visitors get to see. [Video Presentation]
Dennis Schulz: Today, ITM is significantly more capable than the company has ever been. Our path to profitability is no longer a question of capability, but now solely a question of volume of customer orders. The foundations we have laid will enable ITM to build long-term venue, allowing us to invest for growth and drive attractive returns for our shareholders. In the meantime, our sales pipeline has been growing strongly, which makes me optimistic about what lies ahead for ITM and our industry. We are ready. Now we need more customers to take FIDs.
Operator: Thank you very much, indeed for your presentation. [Operator Instructions] I just want the team take a few moments to review those questions submitted already. I'd like to remind you the recording of the presentation, along with a copy of the slides and the published Q&A, can be accessed by your Investor dashboard. I'd now like to hand you over to Justin Scarborough, Head of Investor Relations, to host the Q&A. And Justin, as you can see, we've received a number of questions from investors, both pre-submitted and throughout today's presentation. If I may just ask you to read out the question where appropriate and direct it to a member of the team. Thank you.
Justin Scarborough: Thank you very much, and welcome, everybody, to the results presentation today. The first question is in relation to what you mentioned on the front page of the release this morning and the path to profitability. Could you elaborate on what that path to profitability looks like from an ITM perspective?
Andy Allen: Yes. I'll kick off and Dennis, do jump in. I think there are two sides to this. There's about a side which is about sales and generating income. But the second part is around controlling costs and being ready for those sales. As you've seen, we are absolutely ready to take orders, and we have controlled costs very carefully over the last 12 months, so we are in a position where we can take orders. Now it depends very much on the sales mix as to what we need to do in order to break even, but it's very much around the TRIDENT projects because those -- that's the volume product and naturally, POSEIDON is part of that, being a volume-execution project. What we see is TRIDENT project life cycles lasting from between two and three years in execution. And the ITM bit tends towards the end of that as a plant has to be built first, with stacks to arrive last. So we do see some time before we get all of the revenue recognized. The flip side of that is that actually, we see cash milestones throughout. So we see a more positive cash generation profile before we see a breakeven in the P&L. We -- in terms of volumes, I think we've said it before. But the number remains fairly consistent, which is we would need to execute 400 megawatts of TRIDENT, give or take, depending on exact parameters of the contract. If we start to add into the mix POSEIDON and NEPTUNE, because more of the scope is with ITM, we start to see a lower volume of megawatts required for a breakeven position.
Dennis Schulz: Maybe I'm also adding in a little bit. Thank you for that. So I think what is important to mention here is that we have gained control over what we can and must control as a business. On a project-by-project level, we are now profitable. So any new sales contract coming in will generate profitability on a project level. This means if we generate more projects and if customers take more FIDs, over time, we will become not only breakeven but a profitable business. What is also important to mention is that we are no longer -- this is what ITM had done previously, we are no longer pricing in any future improvements of our product or cost-down initiatives, but we are selling at today's price with a profit margin. This means any improvement, which Simon is generating on the technology side, any cost-down, and we're working very hard on achieving cost-downs, is a further upside for us. Meaning that especially, Andy talked about TRIDENT contracts being delivered throughout a couple of years, any improvement to the cost base of TRIDENT during the project execution lifetime will further improve our result on a project-by-project basis.
Justin Scarborough: Thank you very much. A question for Simon. At the time of the interim results in January, we spoke about CHRONOS. And Andy slightly mentioned it in his part of the presentation. Could you give an update on the development of CHRONOS and when we expect to hear some hard news on it?
Simon Bourne: Sure. Well, we're on track. CHRONOS is, of course, our larger-capacity stack platform that's under development today. It's in that larger-scale deployments and it builds on our existing strengths but also all of our lessons learned in execution. And we're giving particular attention to design for manufacture to make assembly easier and more straightforward. We have a very tight collaboration with Gore, who is a membrane supplier. And together, we are taking steps in evaluating features currently for that stack platform. And we're pretty excited about it. I mean, one thing I perhaps should say is that CHRONOS isn't going to render TRIDENT redundant. We'll continue to manufacture TRIDENT, and technology improvements that Dennis referred to will be implemented in TRIDENT as we move forward. So people can -- existing customers, new customers can gain the benefit from that.
Justin Scarborough: Thank you, Simon. What do you regard as your main USPs against your peer group?
Dennis Schulz: Maybe you start on the technology side?
Simon Bourne: Okay. I mean from a technology standpoint, we've explained in previous presentations why we have the leading technology, highest current density, giving operators the most flexibility to how they operate the equipment. We've got leading conversion efficiency. And as we have explained in NEPTUNE V, we are bringing the smallest footprint containerized product. So from a core technology point of view, there are many elements. We also have, of course, a very capable factory. We also have proven execution capability, and we are rapidly now generating data in the field, which is really driving customer confidence.
Dennis Schulz: Yes, I think you've basically covered it. Maybe on top, I'm meeting a lot of customers in our factory. And the recurring theme or recurring feedback we get from customers is that they appreciate how much different the current factory feels, how much more real that is over some of our peers, especially when they can see actual plant operating data from our reference plants as well as in our test yard. In your part of the presentation, you explained about our testing capabilities. I think one very unique feature of ITM is that we can test stacks and NEPTUNE containers under full load, including any safety case. So if a customer buys a product with us, for example, NEPTUNE II or 5-megawatt container, they can visit us obviously while we are producing that. But the main point when they're visiting us is to do factory acceptance testing, what we call customer witness testing. When they come to us, they can sit with us in the control room or they can dial in remotely. And then they can see their personal individual unit performing exactly what we said it would produce. And only when -- once we have proven and once we have shown that the unit is doing what it's supposed to be doing, then the customer is signing off the unit and will take control of it, and then we are transporting it to the site. This is something where the customer or customers get a lot of comfort around the performance of the units and about the capability of ITM. And it has helped us a lot that we are recurring tests in our factory right now, where we can invite new potential customers to witness also the testing of units of other customers currently in production, so that they can actually see in reality that the units are performing what they are supposed to be doing. Very different from some of our peers who only perform on PowerPoint.
Justin Scarborough: Thank you, Simon. Thank you, Dennis. On the subject of NEPTUNE, the question is can you give an update on our manufacturing capacity and particularly in light of the information you provided on the sales pipeline, which included a lot of NEPTUNE potential products?
Dennis Schulz: Do you want to answer that?
Andy Allen: Sorry, I missed it.
Justin Scarborough: On the subject of NEPTUNE manufacturing capacity and particularly with regard to the data provided on the sales pipeline within that part.
Dennis Schulz: Okay. It's a general question for all of us. So as I had laid out in my part of the presentation, we are seeing a significant uplift in containerized demand, especially for NEPTUNE V. This product has landed extremely well, both because of its competitive price but especially also because of its flexibility and compactness. The -- for our own capabilities of manufacturing in NEPTUNE II and NEPTUNE V, they are exchangeable. They have the same container size, 40-foot for the main container. So in the same space where we would usually build a NEPTUNE II, we can also build a NEPTUNE V so they're interchangeable. In terms of capacity, we have put a lot of focus on increasing the amount of NEPTUNE units we can do in parallel and we continue to do so. We are currently not at a point where we are running out of manufacturing capabilities and space. But over the next, I would say, 12 to 24 months, we see a lot of demand. And you've seen the snapshot for '26, '25 looks very similar in terms of NEPTUNE demand. We are seeing a lot of projects being tendered for, which if they all materialize at the same time could lead to, I would say, a limitation of the numbers we can produce against these contracts. That's why we have started to pre-produce some of the NEPTUNE II units, and we are also starting to pre-produce one NEPTUNE V unit now in anticipation of the big demand, which we are currently being -- which we are currently tendering for. I do not foresee a bottleneck there overall because if we flatten the manufacturing of the containers across the next two years, we can definitely deliver what our customers want. Some customers, and I said that in my part of the presentation, have very specific delivery windows for their NEPTUNE units, which they need to adhere to. And that is why they are coming to us with capacity reservations to block particular production slots. Now the capacity reservation topic is an interesting one. And maybe if you allow me, I would just comment shortly on that one. Because capacity reservations in itself are a good thing, right? It means that the customer has basically selected us as a supplier, not just as one of many, but as the supplier of the project. And then they are typically prepaying a certain amount of the contract price, which is then later discounted against the actual contract award. You have seen that with Shell REFHYNE, right? Shell gave us a capacity reservation, which was paid, and this amount is now discounted against the actual Shell REFHYNE II contract. And you still need to be very careful who you give these capacity reservations, too. There's a lot of companies and among them are a lot of project developers, who have a very high -- a very low likelihood of project realization, either because they're dependent on funding, which is sometimes difficult to achieve. They have outstanding building permit issues. Some of them do not yet have an offtaker for the hydrogen molecules. In all of these cases, you need to be careful who you commit manufacturing capacity to because whilst you do get a prepayment of the contract price and whilst you can keep it if it is not being used and not materialized as a contract, you may still end up with a production slot which is not utilized, which would lead to a fixed-cost under-absorption in your factory. That's why we are very selective in who we sign capacity reservations with, which means they need to fulfill some very important criteria. Among them, they need to have a confirmed offtaker. The company needs to have an industrial background. They need to have the financing in place or the balance sheet strength to pull off the project. And they need to have, I would say, relevant experience in deploying similar projects. So for us, the credibility of the customer is extremely important in that. If the customer cannot convince us of that, we would not took capacity reservations. But they would have basically need to wait in line for the next container to be finished.
Justin Scarborough: Thank you, Dennis. I know you mentioned a specific criteria on projects. And also during Simon's part of the presentation, he spoke about the extensive audit that was done by Shell. Could you provide a bit more sort of color in terms of what that audit looked like?
Simon Bourne: Yes. I'll start. Well, Shell has a very detailed and rigorous process. That's the first thing to say. When it comes to large-scale projects, this is a very intense and detailed process, very different to the smaller scale of pilot projects. We have had an extensive exercise with Shell for a long, long time. We've covered everything from lessons learned in the execution and operation of REFHYNE I. We've had physical audits here in the factory, looking at our manufacturing processes and the controls we use in and around our general operations. They've also assessed our technology, both here in the labs, in the test yard, and also by having the latest generation of TRIDENT stacks deployed into REFHYNE I. So we've had very practical hands-on experience at that. So I mean, generally, they've been looking at every aspect of ITM and our ability to deliver a large-scale project. So there's not really anything that they haven't touched or inquired about as part of that process. So while it's been detailed and a lot of work has gone in from many people to do that, there is a sense of pride actually of coming out the other side. These decisions aren't taken lightly, correctly so, and we're delighted that we've got through that process and we're working with -- working well together with Shell and Linde on the project.
Dennis Schulz: Yes, I could confirm that. Maybe in addition, or talking a little bit about the hybrid stack upgrade. I think this is important on various levels. So I think we previously spoke about the hybrid stack upgrade having delivered 10% efficiency increase in the REFHYNE I plant. That in itself is great, and that in itself has motivated other customers to do hybrid upgrades as well. However, it also says something else. The inherent promise you get if you buy a PEM technology plant is that, over time, you can exchange stack generations. So if you buy a TRIDENT stack today, then I would say, in a couple of years, there were a lot of technological improvements. Over time, you can then just buy the next generation, put it in your plant, and it's still working and it's working better. Now a lot of companies, basically everybody, has been talking about that. But we are now the only one who has actually pulled it off in reality. We're the only company who has ever brought in commercial scale a new-generation technology into a previous-generation plant, delivering a 10% efficiency improvement. So this was another element, which has convinced Shell, but which is also very important to other customers because they see our capability of if they buy a plant today by us, they will profit if they upgrade from any innovation we do to our core product lineup over the years to come. And at any given point, they can transition to the next stack generation and get a higher-performing plant as somebody would who is buying a new plant from us. This is something which is really important to customers. They're not locked in within, I would say, an older technology for a long period, but they can always upgrade.
Justin Scarborough: Thank you, Dennis. Could you provide an update and a comment on our relationship with Linde?
Dennis Schulz: Yes, I can. The -- I think the proof is in the pudding. That's what I learned in the U.K. And I think one important proof point has been REFHYNE II. REFHYNE II is a project we are delivering together with Linde Engineering for Shell. And I've also shown in my part of the presentation how the Lingen plant looks like as a win. Linde and ITM have a joint offering, which is very mature in the market. Linde has developed their so-called HYPEM module, which is a 10-megawatt very mature central solution around our core technology. And we now have a track record of deploying that to some of the most prestigious and some of the largest projects in the world. We are tendering for a lot of projects together in the market, especially in markets where Linde has a very strong footprint, obviously. So I would say the relationship is very constructive. It's professional. But that does not necessarily mean that it's always easy. I think we are both two companies, two different companies. We're working closely together. There can be one or the other dispute at times, but I think we have found a way to positively work together also through some of the previous project delays, which happened before I joined ITM. And I think we are now in much more steady waters. And I think that we have now signed not only 200 megawatts for RWE but another 100 megawatt for Shell is a very important evidence and proof point here. And we're hoping for more projects together. I mean, as I said, we are tendering for a lot of projects right now. And I think we have a very convincing offering in the market of a proven combination of a strong technology company and a very experienced and mature EPC organization.
Justin Scarborough: Thank you. Slide 20 was the guidance slide. Andy, could you give some indication over which years you expect the GBP105 million of revenues to be recognized over?
Andy Allen: Sure. So that's the GBP105 million of contract backlog that is not expected to be recognized within the current financial year. I mean, I should say on the guidance for this financial year, that is purely related to contracts that are already signed. So with some NEPTUNE products being built to stock, we could see an upside in the year, but we are sticking very carefully to what we have contracted and within our control. That same approach will be taken with that GBP105 million of backlog beyond FY '25. Some of that is TRIDENT products. We are expecting it to go out into future years. And so we're being careful that we disclose exactly the timing of that when we have control or at least a higher level of visibility.
Dennis Schulz: I think it's important to reiterate what you said in your part of the presentation, Andy. And if you want to build a sustainable and resilient business, it's important that your backlog of contracts, so not what you have in your sales pipeline, but what you've actually signed as firm orders, is growing quicker than the revenue you generate because over time, your company will grow, right? If you have spikes in revenue, which are basically eating up your order backlog quicker than you can generate new order backlog, you're running into a problem territory. Right now, we are seeing the opposite trend. Our order backlog of firmed up orders is growing significantly and much quicker than our revenue, which is the more important indicator. I mean you presented that some of our projects will run for three years, and only then we will recognize 100% of the revenue at the very end of the contract. So in such kind of scenario, which we are in, I think revenue is not the most relevant indicator for company growth. I think contract backlog is the most relevant indicator. And that's why I think we will shift focus also a little bit to talk more about contract backlog and how many orders we still have in front of us to execute.
Justin Scarborough: Thank you. Has your view on the U.K. outlook changed or improved in the context of the recent Labor election win?
Dennis Schulz: I think, improved. So I mean in principle, it was important that the new government, which came in, the Labor government, is continuing on the funding programs, which were started before them. The so-called HAR programs, I also introduced in my part of the presentation. Because a disruption to that or a complete new program would have basically delayed a lot of projects which are currently close to FID. So I think for us, this continuity was really important. And we are also welcoming the Labor government's strong drive towards energy transition. And I think there's a lot of ambitions right now, which we are obviously welcoming a lot. Then again, I think in the end, we will have to wait for outcomes of that, right? I mean, in the end, the only thing which counts for us is do we get contracts signed with customers? So do any regulatory or funding changes by government lead to actual contracts? I think so far, everything I've seen from the Labor government is pointing in the right direction. But again, let's wait and see over the next couple of weeks and months how that is then materializing into actual orders. But so far, I think very positive.
Justin Scarborough: Thank you. Next question is a number of our peers have announced licensing agreements to facilitate entries into various markets. Can you give an update on your approach and view with regard to licensing?
Dennis Schulz: Licensing in itself remains an interesting model, I would say. It's not our preferred model. Our preferred model is to be the manufacturer of the equipment. I personally believe that if you want to be a technology leader and if you want to, in the positive sense, dominate a market, you need to have very tight control over your supply chain. So where you buy your products from, how good is the quality, also if quantity goes up, you need to make sure that you have internal processes under control and so on and so forth, right, because you want to build up your reputation with customers, you want to generate field data. If now you have a lot of licensing deals with different companies, producing to different qualities and potentially different supply chains, you may end up in a situation where your reputation is damaged if the quality of your products does not live up to expectations. So I'm generally a bit careful with technology license agreements. I would not rule out completely that this could be an option for ITM for very specific world regions. But right now, our focus will remain on being a manufacturer, being the manufacturer of electrolyzers and to produce the world's best electrolyzers and deliver them to our customers.
Justin Scarborough: Thank you. A couple of financial questions for Andy. That's okay. Within the gross loss explanation in the release this morning, does the cost of quality of GBP3 million relate to testing? And what does customer contracts of GBP4.2 million specifically refer to?
Andy Allen: Okay. So the -- it's good that we split those two. So the cost of quality is around our manufacturing processes. And if you looked at that over the course of the year, you saw a taper as we brought in better automation and better control around our manufacturing processes as evidenced by that Shell DD process. So that is the cost of excess manufacturing costs, which are not making it into the products, but far smaller than they were a year ago. In terms of the GBP4.2 million for projects, that is where project forecasts have increased. And the important bit there is we are actually seeing a slight reduction in the cost of production within the operations. Where we have seen extended costs is actually the on-site work and us being actually present on site for longer than expected, so those are cost forecast increases in the year. There are still opportunities to mitigate those going forward, but that will really depend on how much time we spend on site ultimately.
Justin Scarborough: Thank you. I suppose this is a general question in terms of the development of electrolyzer supply chains, how they're developing. And do you see any particular areas of weakness that may impact ITM going forward?
Dennis Schulz: Maybe I'll kick it off and then you take over. So I think, in principle, what's very evident is that more and more companies are taking the electrolyzer business serious. I mean the market is growing, right? It's growing quickly. Over the last couple of weeks, we have seen some very large FIDs, some of the most -- some of the biggest projects were just recently decided, mainly in Europe. So with any -- with every decision of a large customer to take FID and then to invest into these kind of projects, more and more credible suppliers trying to take part in the supply chain, which will lead to competition and ultimately to higher quality and a decrease in cost and price by suppliers. I think this is a development we are seeing already, which is very helpful. And in particular, I think, and you can comment on the Gore relationship, but having very large companies with a lot of capabilities entering the space and partnering with OEMs is very important. After I joined ITM, I put a lot of emphasis and focus on our supply chain and on forming strong partnerships, something which is already paying off.
Simon Bourne: Yes. Just to pick up on that, I think Gore is a good example. There are a number of key suppliers, and we want to be working very closely with them. And often, it's not just as straightforward as finding a supplier and buying what they offer. There's a lot of work to do to get the most out of those components and make sure that everything meshes together well in your manufacturing and your overall process. So having a deeper relationship with key suppliers has been really important to us. And I think that's working well and paying dividends now.
Justin Scarborough: Thank you. There are multiple questions pertaining to the 500-megawatt capacity reservation as well as the 200-megawatt partnership with Hygen. Is there any guidance or insights you could give and provide with regard to those 2 big announcements?
Andy Allen: I mean, I'll start. I guess the 500 megawatts is around us receiving contracted orders between now and 2028. We're not going to disclose partners necessarily. We're not in a position to do that. But it's a real vindication of the work we've done in the last 12 months and the confidence that people have with ITM, so a real positive. With Hygen, there's two phases to that, but it's very much linked to the U.K. government funding rounds. And I guess, where we see Hygen as a very ambitious company on this, really trying to change things in the U.K., and one where we see a made in the U.K. sticker for as having value to the U.K.
Dennis Schulz: Yes. I think that covered it. Just for completeness again, so Hygen is not a capacity reservation. That is a preferred supplier relationship for PEM electrolyzers. The 500-megawatt one is the capacity reservation as was the Shell REFHYNE 100-megawatt before it turned out to be a real FID there.
Justin Scarborough: Thank you. There are a number of questions about the U.S. market and its development with a lack of clarity on sort of policy tax credits. Is there any insights or thoughts that you can provide regarding the outlook for the U.S. market and ITM's role in that?
Dennis Schulz: I think the current development is confirming that we took the right approach. I think we are one of the very few in the industry who did not announce a large investment into a factory in the U.S. This would have been premature. As I said in my part of the presentation, we are typically investing and growing in markets where there is significant anchor demand, which will justify investment. Right now, we do not see that anchor demand being there. I mean, not many project decisions have been taken. There are a lot of very big numbers being talked about when it comes to hydrogen hubs funding and so on and so forth. And we had some very good discussions with potential customers for projects. But I think in terms of maturity of project discussions and where we're heading, I think Europe is still leading the way significantly. And also when you look at the pie chart, which I was showing on the sales pipeline slide, I think 17% was Rest of World. This included U.S. It's still much smaller share of projects still, which we foresee to be materialized in the U.S. It stays an important market though, right? I mean it has a lot of potential. The IRA funding is very interesting. There's a lot of movements by companies, but this has not yet translated into a lot of projects. And I can just come back to for me, coming from an industry where it's about signed orders and building stuff, which actually works, the only thing which counts is signed contracts. Everything else is hot air for me.
Justin Scarborough: Thank you. That concludes our Q&A session. What I would just finally say to people is that I will endeavor to answer the questions you submitted via IMC or if you've got any specific questions, then just contact me directly and I'll reply over the course of today and tomorrow. Thank you very much.
Operator: Fantastic. Thank you all for updating investors today. I'd like to remind you that before closing this session, you'll be redirected to give your feedback, which will only take a few moments to complete and most greatly valued by the company. On behalf of the management team at ITM Power, I would like to thank you very much for attending today's presentation. That concludes today's session, and good morning to you all.